Antonio Rodriguez: Good morning, everyone. And welcome to TR’s 2024 Full Year Results Presentation. It’s going to be conducted by our Chairman, Juan Lladó; and our CEO, Eduardo San Miguel. It will last approximately 20 minutes, 25 minutes, and you will be able to pose your questions after the final remarks. And I’ll leave the floor to our Chairman, Juan Lladó.
Juan Lladó: Hi. Hello, everyone. Thank you very much, Antonio. And good morning or good afternoon. I don’t know where you are, to whomever is listening to us. As usual, Eduardo San Miguel, Técnicas Reunidas Group CEO and I will guide you through these presentations. And at the very beginning, first of all, I will share with you, all the main highlights that we have achieved over this year, 2024. Second, I’m going to give you guidance of 2025. Usually, guidance is left to the end. But we do believe that this presentation will flow much better if we start disclosing our targets and our ambitions for 2025 and even 2026. I will continue with an update of the most important or relevant business milestones, three important milestones that have been achieved for the 2024 and 2025. And then I will leave the floor to Eduardo, who will drive you through the relevant landmarks achieved by TR in its operational performance. And as always, the main financial figures for the year. And I will finally wrap up the presentations with some closing remarks. Highlights. I mean, the highlights here are very simple. Five bullets, and I’m going to elaborate very much on it. You have a lot of information there. We have number one, order intake, €4.8 million. Two, very strong and healthy, very I like to underline healthy backlog of €12.5 billion. I don’t like to use it in terms of records and whatever because, well, this is not a race. Sales, €4.5 billion, very much within our target. EBIT, we were talking of a year of 4%, slightly above 4%, which margin, which is €181 million. And very important, we closed the year with a net of that cash position of close to €400 million, €344 million to be precise. I do believe that these five figures, five achievements are very much self-explanatory. And they are the first steps of a very important sales strategy that we have presented to you last May. Later on, Eduardo will give you additional details on both operational and very specifically on these financial figures. So, let’s not wait anymore, and let’s move into guidance for 2025. I mean, back in May 2024, Capital Markets Day in Abu Dhabi, we shared with you TR’s business strategy for the upcoming years. And we assume commitment and the reality is those commitments are being met. And 2024 is the first step, as I said before. So, starting 2025, we’re more than ready to start these presentations with our guidance. With the guidance, which is slightly better than what a lot of people had expected. We do expect, and that’s our guidance, to have revenues for 2025 above €5.2 billion. And we do expect, and it is our guidance, of having an edit in the neighborhood close to 4.5%. And I think this is very important, and this is very important because it’s also in the set of minds for the next slide that we’re going to be talking about a very important milestone in our strategy, which is 2026. But before that, let me, do a quick analysis or a quick to highlight two very important happenings, so to speak, that have taken place over 2025 for the last two months. The first one is Vaca Muerta. A lot of people think, why is Vaca Muerta so important? I mean, Vaca Muerta is important. It’s very important for us. It has to do with a customer that we want to work for. It has to do with the field that we have to work for. And it has to do with the customer and partners, services and technology they want to develop upstream. And while we’ll do further development of Vaca Muerta later on. And also very important, we have been selected for a project amounting to €3.3 billion in the Emirates. But we cannot do further disclosure until, obviously, as that always happens, the project is fully signed. And having talked about 2025 and those very important messages of those very important announcements that have taken place in 2025, over the last few months, let’s talk about the very important year, 2026. And in this sense, we are, I am, we, our TR team, and me personally, very optimistic of the positive trend of the market and the positive trend that TR is taking the right steps to achieve all the goals and objectives for the upcoming years. Here you have the term ambition towards 2026. And some of you might think ambitions is the synonym of wish. Well, it is a wish, obviously, but it’s not a wishful thinking. I mean, that ambition is becoming a reality and it’s becoming a reality that allows us to have greater revenues through €5.5 billion. That sends the message to you, analysts and investors, that our ambition is close to be a reality with an EBIT margin above 5%. And very important, because this is 2026, we said it in Abu Dhabi, and we say it today again, it’s a very important milestone. It is the year that with these results we’ll send TR back again to dividend paying policy. It is a very important year. That’s why we thought that guidance and ambition, again, of 2026, we wanted to present it to you at the very beginning of the presentation. And now let’s talk about back to day-to-day business. Less ambitions and less guidance. Let’s go back to reality, back to the business. And back to the business, I think it’s important to present to you three. I mean, many things have happened this year. It has happened in Kazakhstan, in Abu Dhabi, in the United States, many things, and a lot of delivery. It has been very -- it has been extremely busy years. But let’s first focus in three happenings, so to speak, in three accomplishments. There are somehow inflection points on TR’s strategy. Number one, on November 2024, to be precise, I think, it was the 27th of November when we announced that it was 27th or 17th. I do remember that it was November. Sonatrach decided to entrust TR as leader, together with Sinopec, to relaunch the very important and the very strategic refinery in Hassi Messaoud, Algeria. And just a few seconds, so let’s do a bit of memory here. This job was awarded to TR at the very end of 2019. And we had a signing ceremony in January 2020. And two months and a half later, Sonatrach’s team and TR’s team, we were all locked in. We all forgot that COVID started. But we were brave enough and we have a strong relationship, because of relationship and it was the first job that we started from scratch, teleworking. So it was a challenge for both, and we did. Unfortunately, COVID was more than teleworking. 2021, prices went crazy. 2022, war, impossible. And the project was put on hold. Today, together with Sinopec, our strategic partner, the three companies, our customer, Sonatrach, our strategic partner, Sinopec, and ourselves have been working together to relaunch this job very successfully. If the job is above €4 billion worth, we know the job, we happen to be the leaders and we have a very strong partner, Sinopec. And it’s not because we have a strategic partner, because with them, we have done the largest refinance job we have ever done in the Middle East, in Saudi Arabia, and in Kuwait. So I have to say that I’d like to thank both Sonatrach professionals and Sinopec professionals, because the three of them, together with my team, together with the Técnicas team, have demonstrated over the last month the willingness of working together and the commitment for the Algerian market. So I’d like to leave it very clear. I’m extremely thankful, and this is a very successful, a very successful accomplishment. And now, solar projects. The thing is, I’ve already, I made the whole explanation of Sonatrach, which was coming up towards, but I was better earlier than later. So let’s, I mean, don’t forget about it. What I said is important, and I wanted to say it. So now let’s look at the second inflection point. The second very important announcement. Last November, on the first nine months presentation, we already announced that we had been selected, with limited notice to proceed, to three very large, three extremely important combined cycles. At that point, we already mobilized the project act force together with the customer. And right now, all the teams, TR teams, with our partners, are already working under very accelerated, limited notice to proceed. With engineering has been fully launched together, and this is very important, that TR, together with the customer, we have already secured the turbines. Very important to meet our targets for the power island. So you may remember that often we have said, and in this business, we’re the only company that is working at the same time with the three technology providers, which are GE, Ansaldo, Siemens and Mitsubishi. We are committed with this project, which is huge. It’s -- when we talk about, you see, you read there, 3.3 gigawatts. It happens to be that it is the size to give you a sense of reference. It’s about one-third of the total capacity installed through combined cycles here in Spain. So this is very good. It shows -- has very much to do with TR’s knowhow, TR delivery capacity, and how our customer, and in this case, ACWA Power, probably the most important independent power producer for water and power in the Middle East. I think is most important by far, having trusted TR. The second customer, again, we cannot discuss it here. But this is very important. And finally, Vaca Muerta. Vaca Muerta is important for us. Let’s say for us, it is important Argentina. It is important to work in the largest non-conventional oil and gas reserves in the world, which is very important. It is a strategic pillar for the growth and sustainability of our customer, YPF, in the Argentinian economy. We want to be part of that. We want to be the partner of YPF. We’re going to be working with them on services. We’re going to be working with them on procurement and we’re going to be working with them supporting them in construction for a total amount of slightly above €400 million. And I’d like to thank YPF, because YPF, we have been working together for years. We know each other for years. But it’s important to say that this is the second job awarded to TR after COVID. At the very beginning of 2022, we started to work with Sanri, Luján de Cuyo, with YPF, and we have worked with them in full harmony, and the project has been delivered. And it is a privilege now to work with YPF and its partners in such an important development. So thank you, YPF. And now, after, I don’t have to talk about happiness, because I’ve already talked. So I leave the floor to Eduardo, who will give us insights on TR’s performance and financial numbers.
Eduardo San Miguel: Okay. Thank you. Thank you, Juan, and good morning, everyone. I would like to talk now about our delivery. For this purpose, I have selected four projects, most of them close to their end, in which relevant milestones have been achieved. The first project is Project 1 for INEOS. This project was awarded to TR in 2022 and it is the largest undertaking by INEOS in its history. Moreover, it is also the largest capital investment made by the European chemical sector in the last 20 years, so a big one. The plant, which is built in the Belgian port of Antwerp, will have a production capacity of 1.5 million tons of ethylene per year, and its startup is scheduled for 2026. This ethylene plant is obtained from ethane, making the process much more energy efficient and environmentally sustainable. The scope of this contract, as you know, included project management, engineering services, procurement management and construction supervision services. And as you are aware, it is built on a modular strategy basis. 21 modules are to be made in Abu Dhabi and to be sent to Antwerp in nine shipments. While the milestone is during the last month of 2024, the first two shipments were sent and have arrived to Belgium on a schedule. And finally, this project, in addition to the enormous complexity associated to the size, the logistics, and the advanced technology, has also represented a milestone in the digital transformation of the company, as this is the first project in which a digital twin is fully developed by Técnicas Reunidas. With regard to the Resid upgrade project we are executing for our client, ExxonMobil in Singapore, the aim of the project is to convert fuel oil and other crude products into higher value lube base stocks and distillates. The mechanical completion of the project is expected in the first quarter of 2025 and currently we are supporting ongoing commissioning activities as requested by the client. We are extremely proud to announce also that to date our teams have achieved more than 30 million of safe man hours. There’s a project I would like to talk about. Today is the modernization of the Talara Refinery for Petroperu. This project is one of the largest investments of its kind in Latin America within the energy sector. The new refinery has 16 process units, five packages of auxiliary units and complementary services to liquid loading docks. It’s a huge project. The modernization involves the production of high quality diesel and gasoline fuels in accordance with stringent environmental requirements. And we are proud, and that’s a milestone, we are proud to confirm that 100% of the milestones required for the plant to start up were achieved while all units were successfully delivered. And the last project I would like to highlight is the project for SASA Polyester. A very good example of the massive tuck-in investment that Turkish companies are driving ahead. This PTA project was awarded in 2021 under an EPCm service contract. And today our engineering and procurement work is fully completed. All the construction supervision services are to be finished. As of today, most of the facilities that integrate the plant are already in operation and the two final units are expected to be delivered during 2025. Before leaving this operational performance section, I would like to devote some time to elaborate about how we see Técnicas Reunidas positioning in a changing U.S. market. We all know that policies implemented by the new U.S. Government are very focused on the use of conventional energy with an important deregulation and a fierce protection of domestic energy sources. This increased reliance on conventional energy resources will imply significant growth opportunities in sectors such as LNG, petrochemicals, upstream oil and gas, and gas-based power generation. In summary, those sectors where Técnicas Reunidas has a solid track record and the recognitions of the clients and the recognition of the market. Also, during the last two years, we have entered in the U.S. with small-size projects and we have had the chance to show to the main players our capacities, our capabilities as well. We are also well-known by relevant U.S. clients for whom we have executed projects outside the U.S. If we put all those reasons together, I think it’s not very challenging to expect a significant growth of our operation in the American conventional energy market. But also, regarding investments in energy transition, we still see coming a number of potential projects. Since relevant European off-takers for this energy are still going ahead with their projects and many opportunities for carbon capture while aligned with the U.S. Government policy will be awarded soon. We currently have a pipeline of opportunities in North America that amount more than $20 billion where service contracts will continue to be here focused. Let’s now take a look to the P&L and the balance sheet. The sales of the fourth quarter amount €1.2 billion, bringing 2024 sales up to €4.5 billion. On a yearly basis, sales have grown an 8% versus 2023. Annual sales have finally reached increasing speed and will continue to increase in the coming years, thanks to the record backlog we currently have. Our EBIT for the fourth quarter is €50 million and the total amount for the year is €181 million. This figure represents a growth of 16% versus 2023. The overall margin of our sales in the year stood at 4.1%, which improves slightly our guidance for 2022, I am sorry, for 2024. But finally, it has been a year of significant growth both in sales and margins. And if the P&L improves, balance sheet figures have to improve as well. That is why TR’s net cash figure has grown €46 million up to €394 million at the end of 2024. You can see that in the left top chart. This improvement has also allowed us to reduce €62 million our gross debt. And now I know I may sound boring and repetitive when sending my next message, but regarding cash, we still believe that, and I want to insist that under the actual market scenario where clients demand us to accelerate the projects, the wise way to use the cash is not to accumulate it in our balance sheet, but to pass it to our suppliers and allow them to execute projects smoothly and faster. I’m sorry to insist, but I think it’s relevant. Regarding to equity, we continue to reinforce it and we have ended 2024 with a solid position of €575 million. We are at pre-COVID levels even without considering the PPL. To summarize, I would say PPL and balance sheet figures are to be in -- P&L and balance sheet figures reflect the good performance of all our operations and we expect they will keep improving in the future years as explained in our Capital Market Day. One final slide, important one. The good health of our balance sheet allow us to go on repaying SEPI loans according to the schedule agreed. In fact, this month of February, we have repaid almost €50 million corresponding to the second installment of the ordinary tranche. But in addition, we are planning to evaluate the advance repayment of a part of the remaining loans next September once we have closed midyear net cash figures and with a better understanding of what is the level of equity requested by our clients to go on growing. And now, I leave the floor back to Juan for the final remarks.
Juan Lladó: Okay. You have here -- hello, everyone, again. You have here slides with messages for my closing remarks and every time I look at it, I change my mind of what I want to tell you. So, I’m going to just summarize in three messages that I want to send to you. The first one is a message of thank you. Thank you to shareholders and thank you to our customers. The second message is a message of optimism and the optimism that our plan, our strategy, it is being accomplished and it will be accomplished. And the third message is a message of commitment. And let’s elaborate. Why do I have to thank investors and customers? And let’s just start by 2023. 2023, main, we were in the market, asking our shareholders to support us, to strengthen our capital base. That was our capital market, our capital increase in the market in order to meet the market and what that we were foreseeing that was coming in order to be able to deliver to our customers, for the customers who’s asking us to deliver. And we needed a strong capital base. So, that was a very important year and that year I have to thank shareholders who backed TR that year, as well as customers. With that strong capital base entrusted us with very important jobs. That year, 2023, we committed to the market many things. Sales, awards, backlogs, delivery, everything has been done. Everything has been achieved. And with that, we have closed in 2024 as the first step. But during this 2024, it is the year of strategy. That was the year that we all sat together in Abu Dhabi and said, we have a very strong strategy for 2028. With the milestone in 2026, there is a 2028 strategy. We have the opportunity to grow healthier and convert TR in a much stronger company. And it is happening. It is happening. So, that is strategy 2025, 2028. It is -- and I think it can be understood through this presentation. It is already happening. And the message of TR’s team is a message of optimism. That strategy has a milestone, as we said before. And that milestone is 2026. And that’s the day, that’s the year that we’ll for sure repay SEPI and we will be -- we’ll bring TR back to dividend policy. So, it’s a message of commitment, commitment to bring value as we already are to our shareholders. So, with these three messages, thank you, optimism and commitment, I’d like to finish the presentation and open the floor to questions, and, obviously, answers the best way we can. Thank you very much.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Mick Pickup with Barclays. Please go ahead.
Mick Pickup: Good afternoon, everybody. A couple of questions, if I may. Firstly, I don’t think I saw it in the presentation, but can you just talk about the volume of services in the mix? Obviously, that’s a key element in the 2028 margins story. And secondly, just looking at your divisions, low carbon tech went up to €130 million. That’s phenomenal growth. Well done. Margins are now above 20% in that business. Can we just assume that that business continues to grow at this sort of rate and that the margins now, that’s the type of margin we should be looking at the business?
Eduardo San Miguel: Hi, Mick.
Mick Pickup: Hi.
Eduardo San Miguel: Good morning here in Madrid. And I was waiting for this question. I don’t want to say I did it on purpose, but I knew I have not reflected any results regarding the services division. And there is a reason behind. When I was in Abu Dhabi in the Capital Markets Day, I tried to convince you all that, well, there was a clear ramp up in this activity to come in the year 2026, 2027. But I understand it’s impossible for you not to make that question and you need to know where we are today. Most of the services we have rendered this year have to do with low carbon technology, so you know well what’s in the figure because it’s in the account. But there are also some other projects that have to do with more conventional energy. They are not that relevant. In Abu Dhabi, I told you we were around €150 million this year of services and we are not far from that. And I suspected the profitability, the margin is around 30%, slightly below 30%, but very slightly. So we have done what we expected. But what was relevant for this year, 2024, was to construct, first to open the markets. There are many, many clients that they still see us as a traditional EPC company. So it has been tough to convince them that, well, allow us to participate in other kind of projects. And I think we have been quite successful because that’s the figure. What is relevant for us is that we have constructed a backlog of services to be delivered in the next year and a half. It will take €300 million. So I think this is the good news. We have a very solid backlog for next year. And regarding the energy transition world, I think, if we -- Joaquin is with me, and probably, we can share the answer. But the first answer from my side is, it is a fact the energy transition is not moving as fast as we expected probably a year and a half ago. But it’s still delivering good results for us. The numbers are there. So if we talk about the world of services, feasibility studies, fits, profits, the kind of services we are rendering now, I do not see reasons to believe that they cannot go on growing in the short-term. What still is difficult for me to predict is when the big final investment decisions are to come. That is my main concern. Probably, Joaquin, if you want to add something.
Joaquin Perez de Ayala: Let me add, Mick, that, yes, I think, that we are still working on very good prospects here in the low carbon business. Let me say, for example, that last week we were awarded grants for several projects here in Spain and we are more than well positioned in most of them, okay. So I think it’s something those projects are going to move ahead and we have a chance there to work on building these low carbon projects here in Spain. But also we are working in prospects in Northern Europe. We are working in prospects in the U.S. We are reaching agreements with good companies to do joint business development efforts in Northwestern Europe. So I think that the mood, it seems that now everything is demonized with decarbonization. But it is not when you speak with strong and solid players. I think they are moving ahead strongly and steadily to build a position and that’s what we are doing. We are working on that and we see growth. We definitely see growth in this business.
Mick Pickup: Okay. And can I just follow up on that? You mentioned in one of your slides you’re still seeing low carbon in the U.S., which is good to hear. Have you seen any low carbon in the U.S. disappear?
Joaquin Perez de Ayala: Well, let me say, in the products that we are working on, okay, maybe the one that could be more threatened is the one that is related with green ammonia, okay, or green products. But blue products, for example, blue products are on the way. We are still working in blue products. In fact, we are currently doubling our bet with some of the projects that we are working on in the U.S. that are related with low carbon ammonia, with blue ammonia. So everything that has been in the presentation related with carbon capture, I think, it’s solid. It’s solid in the U.S. And in the states that we are working, even more.
Mick Pickup: Perfect. It’s nice to hear you saying the same as everybody else.
Operator: The next question comes from the line of Kevin Roger with Kepler Chevreux. Please go ahead.
Kevin Roger: Yes. Good afternoon. And I have a few questions if I may. The first one would be on the commercial dynamic. So you have been very successful recently. We’ve already quite a few €1 billion holders, which probably allow you to increase a bit the guidance in terms of topline. How do you see the commercial dynamic for the coming months and basically where you think you can land for the full year 2025, because you usually say that you were expecting kind of book-to-bill around 1 with what you have secured already? It seems that it could be very easy to get those levels. So just trying to understand what you can expect in terms of the world, what you do see in terms of proposal, et cetera, for the coming months. And the second one, it may be early, and sorry if I missed it. I was a bit late on the call. So sorry for that. But regarding the strategy on the PPL, is there any updates here on where you think that it would be a good time to reimburse it? Is it something for 2025 to be able to pay some dividends to shareholder or for you there is no rush and it’s more 2026, sorry. So any comments here, please?
Juan Lladó: Okay. Kevin, this is Juan. I’ll be the one after the other. The first answer was from Eduardo. Now, my turn. It’s true that we’ve been successful in this 2025. Contracts still need to be signed. But we are being successful. And let me tell you, the feeling that we’ve got is today, 2024, 2025, the TR franchise, the quality of franchise, the way customers come to see us and demand our services is much stronger than it was in 2019. I mean, I’m going back to 2019. We’re much, much stronger and far more prestigious house. They call us for sufficient energy. They call us for very big onshore and offshore gas development. You see them being called for urgent and important traditional combined cycles, in this case, power developments. They call us for services. We’re strengthening our service division and we’re presenting ourselves as a very strong engineering house, which is in fact what we are. And we do believe that 2025 is going to be a good year. It is always difficult to say by how much, because this business, it is bumpy in terms of awards. If it was three years, we can tell you that we were very comfortable that we’re going to be meeting everything that we said in the capital market day. But in the next 10 months, it is very difficult. It is extremely difficult. My message is optimistic. It shouldn’t be a challenge, as I said, more or less at the same time last year, to have ordered intakes to replace or sell. It shouldn’t be a great challenge. But, yeah, keep in mind that, we are selective. We like to work with the customers that will assure us a good future and with good customers, one. And two, we’re developing our service division. And three, we are and sometimes that reduces the volume of our revenues, sales and order intake. We continue putting in place risk management or risk reduction measures with partners in our awards. But the message is optimistic. Okay. Very optimistic. The strategy of PPL, the strategy of SEPI, I mean, that is in the schedule. The schedule is to be repaid in 2026. And that’s going to get done. I mean, as we have said, since last May, every single time we have met. And I think we have stressed it here three times or four times in our presentation between Eduardo and I. But listening carefully to Eduardo’s message, by the third quarter of this year and we have to value it. You have to value it both commercially, what is our required net worth for the jobs that we are bidding, our capacity to issue performance, and putting everything in balance by the end of this year, third quarter, will value whether we could anticipate the repayment of the PPL. But we’re not saying a yes or a no. I mean, it has to be explored and this business is always a moving target. And we’ll take a decision then. But the message is the message of confidence. 2026 is a yes.
Kevin Roger: Okay. Understood. Thanks.
Juan Lladó: Thank you very much, Kevin.
Operator: And your next question comes from the line of Ignacio Doménech with JB Capital. Please go ahead.
Ignacio Doménech: Yes. Hello, Juan and Eduardo. Thank you for the presentation. I have two questions. The first one is related with the commercial activity. It seems that it will remain strong for the coming months and years. So I was wondering, how do you feel about the current structure of the company in terms of pursuing all of those opportunities? Do you think the structure is appropriate to pursue all of those opportunities or you would require a change in the capital structure of the company? And related with this question, I was wondering on the balance sheet, okay, do you think that gross payables and receivables remain elevated? However, they’re actually down compared to other years, when we have a percentage of revenue. So, I was wondering what would be a reasonable target to assume for 2025 and 2026 in terms of the working capital? Thank you.
Juan Lladó: Ignacio, I’ll go to the first question and Eduardo will answer the second one. If you ask me about my feelings regarding our current structure of the company, I think, we presented to you, we presented to the market a year ago, and we have a -- I mean, we’re much closer to the customers than we have ever been by far. So, I think, I do believe, not only because of the structure, but because of the talent of the professional, that we have one of the best structures, setups and professionals in Europe and you can see it on the results. And you can see that we have recovered, order intake awarded, and very important, delivered, which is, the three main messages that we wanted to go through these presentations. I think we have a -- we’re working to be -- you always have to work to be better. We’re always revising our structure, but we do have a structure organized with the regional CEOs that allow us to be much, much closer to our customers, for both commercial and delivery, if we have ever been in our history.
Eduardo San Miguel: Okay. Regarding the balance sheet, Ignacio, you are pretty right. The accounts payable and accounts receivable have grown, but it is a fact that they have grown exactly in the same way the revenues and the procurement has grown. I mean, I think, it’s around 9% growth in sales and revenues and procurement, and the accounts receivables and payable have grown around 8%, so there is a direct link between both of them. I think there are a couple of issues that have to be kept in mind for the forthcoming three months, six months. First, we are about to close three or four big projects, and I really believe that once we close the projects, the amounts of the accounts receivable, because of the final withholding with those clients, plus the money we are going to pay to the suppliers, will reduce somehow the volume of accounts receivables and payables. But also, simultaneously, it’s a kind of surprise, because the volume of awards of the last period of the year has been huge, but the volume of down payments received has been quite small. Well, quite small, no, zero, because there is no down payment coming from -- no down payment coming in 2024 from the Hassi project and for the combined cycles in Saudi Arabia. All this money is to come together with the money from Vaca Muerta in the forthcoming 45 days, 60 days. I don’t know if the money will be in the balance sheet of TR by the end of March or will come later, but we will see a significant change in the figures probably next March and for sure next June, and I believe the figures will be much better. That’s my -- what I anticipate.
Ignacio Doménech: Great. Thank you very much.
Operator: Your next question comes from the line of Álvaro Lenze with Alantra. Please go ahead.
Álvaro Lenze: Hi. Thanks for taking my question. The first one is on your approach to new tendering. As colleagues have mentioned, order intake has been very strong early in 2025. And I was just wondering whether you have the capacity to go to order intake levels like €6 billion to €8 billion or whether that is off the cards and you would instead opt to remain at €4 billion to €6 billion as a maximum and try to be more selective in terms of profitability, or contrarily, maybe if you don’t have the capacity, maybe you can invest to increase your capacity and be able to integrate order intakes to the tune of €6 billion to €8 billion? And then my second question is, sorry to come back again to working capital, but I struggle to reconcile the numbers and the messages that you mentioned that you are trying to approach working capital in a way that you collect from clients and then accelerate the payments to suppliers in order to have operations running smoothly. But then you said in the previous question that the balances of accounts receivable and accounts payable is growing in line with sales. I find that message kind of contradictory. I would expect both accounts receivable and accounts payable to fall both in relative terms to sales and also in absolute terms? And maybe if you could quantify a little bit on those three, four clients to be closed in the coming months, because if I go to your annual accounts, it seems that the cumulative revenue from projects that are pending delivery has climbed by €4 billion and now stands at some €29 billion, which is 6 times your revenue. That seems like you have a lot pending to deliver. I’m just trying to gauge whether there is any risk there. Thank you.
Juan Lladó: Álvaro, I’ll go to the first question and Eduardo will follow with the second question. The first question is about do we have capacity? The answer is yes. But let’s have it very clear. I mean, the market will give us the opportunity to grow, because we do have the capacity. We have a strength in our engineering capacity over the last three years. We’ve been ahead of the market, strength in our engineering capacity. The important thing with launching new jobs is to have project directors, project managers and then the capacity to put together a large and diligent task force of engineers. That’s why we always announce the number of hours, the number of engineers. We do have the capacity. We have grown in Spain. We’re growing in Abu Dhabi, in Saudi Arabia and in India. We do have the capacity. But let me tell you, we’ll grow if the market will allow us to grow within the limits we have imposed ourselves, limits of risk management and profitability. We haven’t got the capacity or we will not use the capacity to grow for the hell of growing. I mean, that’s not our target. Our target is to grow within the profitability and risk management that we have very much imposed and announced to the market. And I think that’s an important message.
Eduardo San Miguel: Yeah. Regarding the working capital, Álvaro, I would be very pleased to meet you one day and to enter into details. Well, Antonio says that he prefers to do it, okay. Okay, you can do it, Antonio. Let me -- I think my logic is clear. If you have bigger sales, if the time it takes to collect the money is the same you had in the past, the immediate consequence is that you have bigger accounts receivable and it was the same with accounts payable. So if you are bigger, it’s quite common that your account receivables grow. Saying so, more than happy to sit by your side and help you to understand all the details of how the working capital works. I think it always makes sense to revisit how we collect the money from our clients. That’s important because there are two critical issues, especially if you work intermediaries. The first fact is that according to the milestones or the way of collecting the money that comes from the milestones that has to do with procurement, you always develop a lot of work that cannot be invoiced to the client until the equipment arrives to the site. So that creates a massive volume of accounts receivable, which is not that common in other geographies. That’s first. And second, and I have mentioned before, it’s also common that the client used to withhold a percentage of the total value of the contract that is released at the very end of the project. So when you are very close to the end of the project, you have accumulated a relevant amount of these withholdings that once you recover, they go directly and they are passed to the suppliers because we also have those withholdings with our suppliers. So I know the fear is huge. I’m not happy with it, but it is the work -- the way it work -- the business works and again, very, very happy to sit with you and explain anything you may need.
Álvaro Lenze: Thank you. That’s helpful. And I will take your word on that. And hopefully we can sit in the future to discuss this in detail. Thanks.
Operator: And your next question comes from the line of Francisco Ruiz with BNP. Please go ahead.
Francisco Ruiz: Hi. Good afternoon. Thank you for taking my question. Some of it has already been answered. Perhaps as a follow-up on the mix, I mean, the big jump that you are expecting or the first big jump that you’re expecting in terms of EBIT margin for 2025. Could you tell us how much is coming from the mix? I mean, higher service activity versus EPC and how much is margin expansion on the EPC business itself? The second one, if we look at those costs which are not attached to the project, it has shown a big increase in 2024, more than 20%, if I’m not wrong. Could you tell us how do you expect this to continue in the future? And last but not least, Eduardo, you have already commented on this working capital issue that you prefer to accelerate the project at the beginning of them. But you haven’t said anything about what’s your cash estimate for 2025 as it used to be the case in previous years. So what’s your thought on cash flow for 2025? Thank you.
Eduardo San Miguel: In the line, but let me answer you the first and the third question because we have missed the second one. I couldn’t understand it. But let’s start with the jump in the margin. I think when I was in Abu Dhabi, I was clear. There were two reasons driving the growth of the margin. The first one has to do with, yes, we have to have a bigger service division with better margins. That’s a fact. It will happen. And by 2025, I have told you, we already have a backlog of €300 million. The services are to be delivered in the forthcoming two years. So, well, at least today we have €150 million in our backlog to be delivered next year with a good margin. But also, I think the EPCs are in a good shape. It’s a fact that we have to be conservative. We have learned a lot from the past, and if we see contingencies to be released, we would prefer to retain them until the very end. Once we are pretty sure that there is no risk of any final deviation. So we will see how EPCs are delivering with their margins, but we are not going to get crazy. We want to be conservative. So I would say the growth in 2025 mainly has to do with a more solid delivery of services and a sustainable margin around 4 plus in the EPCs. Regarding the working capital, what’s my cash estimate for 2025? For me that’s a -- it’s a tricky question, because I have told you many times that if you have asked me what was going to be my cash by the end of 2024, I would probably say €600 million instead of €400 million. Why? Because, the down payments coming always have a huge impact in my account. I know the EBITDA of the year 2025, give or take, should be converted into cash by the end of the year. That’s the -- probably that’s the best guidance I can give you. I don’t know if it’s going to happen in 2025 or in 2026, but what is clear to me is that the conversion should be full from EBITDA to cash, because, well, our taxes, since we have tax credits in Spain, we pay very little cash for taxes outside Spain and the financial costs are there, but since we are going to reduce the burden of the loans we currently have it will be smaller as well. So, give or take the conversion of EBITDA into cash should be the improvement of the cash by the end of the year, but everything will dramatically change because of when the down payments are going to be collected. And, sorry, again, I insist every quarter. If I have cash, the cash is for my suppliers. It is the way to do the project. If the cash is for investors, I’m afraid I’m not doing the correct thing. So, I will try to use that cash wisely.
Francisco Ruiz: Very clear. So, my second question was on the costs which are not assigned to the project. I mean, you have a table in your result that says contribution margin and then costs which are not assigned to the project, which has grown more than 20%. It’s a -- I mean, I don’t have the figure in mind, but I think it’s something like around €100-something million. So, I don’t know. Probably this has to do with central services. So, my question is, how do you see this evolving in the coming years?
Eduardo San Miguel: Again, sorry, I have to make some numbers. To say it’s 20%, probably you’re right. But the company has grown 10% and there has been an inflation of 5% or 4%. So, almost everything has to do with the growth and inflation. But I will tell you something. That’s one of the areas I’m more focused in. Every meeting with the Board of Managers here in Técnicas Reunidas, sorry, with the executive committee, one of my main messages, I don’t want this figure to go on growing, because it is very easy and the actual scenario of many potential opportunities coming to spend more money than needed. So, I am very focused and you are right when you talk about it. I’m on top of it.
Francisco Ruiz: Okay. Good to know. Thank you.
Operator: Thank you. And I’m showing no further questions at this time. I would like to turn it back to the management for the closing remarks.
Juan Lladó: Okay. We are done with the year end results presentations. Thank you very much to all of you for attending this webcast. Thank you for your questions and have a good weekend. This is Friday. Thank you.
Operator: Thank you, ladies and gentlemen. This concludes today’s conference call. You may now disconnect.